Yasuo Takeuchi: Hello everyone, I'm Yasuo Takeuchi, Representative Executive Officer. I'd like to thank you for participating in this earnings briefing for the Third Quarter of Fiscal Year ending March 2025. First, our business. The business continued to grow steadily in the third quarter, driven by GI endoscopy in North America. Consolidated revenue increased by 9% year on year, accelerated by the tailwind of yen depreciation. North America posted strong growth of 22% year-on-year with double digit growth in all three focus areas of GI, Urology and Respiratory. Strong poor customer demand, particularly in the U.S., drove overall growth, mitigating headwinds in China, including the continued impact of the anti-corruption campaign, volume-based procurement and increased local competition, as well as stagnation of budget execution and delays in business negotiations in Japan and budget cuts in the UK. We have also continued to see strong growth in emerging markets, especially in ESD, achieving over 20% growth year on year. Quality and regulatory transformation project Elevate is continuing to progress well to meet our commitments to the U.S. Food and Drug Administration, FDA. We have revised the forecast for the fiscal year 2025, considering the progress up to the third quarter and the external environment, particularly in China. We'll continue to monitor the situation closely and respond appropriately and promptly, working towards achieving the forecasts. Today, I would like to announce changes to more efficient and patient and customer-centric structure. As we continue to advance our global target operating model to enhance our entire company architecture and business processes, we will realign our divisional structure from April 2025 to be more customer-centric. We will continue our journey to focus on therapeutic areas by improving focus on each business unit BU. This creates a direct connection between business unit global management and local sales teams, fostering collaboration, enhancing alignment between global and regional strategies, and ultimately improving effectiveness in execution. As part of this evolution, the Endoscopic Solutions Division ESD and the Therapeutic Solutions Division TSD will transition into the new divisions of the Gastrointestinal Solutions Division, GIS, and the Surgical & Interventional Solutions Division, SIS. GIS includes GI Endoscopy, GI EndoTherapy, Medical Services, and SIS includes Urology, Respiratory, and Surgical. Through this reorganization, we aim to operate with greater speed, ensure consistency among the regions, break down silos, and reinforce our commitment to patient and customer-centric growth. GIS will now have full portfolio of solutions for GI procedures within one division. We aim to seamlessly integrate a broad portfolio of endo towers, endoscopes, endotherapy devices, reprocessing and service solutions with a cloud-based suite of applications. With our unique GI Solutions portfolio, we are well positioned to unlock the full power of endoscopy for the benefit of patients and customers. We are confident that fulfilling our unique customer promise will have positive impact on our market penetration, unlock additional recurring revenue streams and foster strong customer loyalty. Let us take a closer look at our upcoming intelligent endoscopy ecosystem. We have established OLYSENSE as our new sub-brand for our primarily cloud-based, integrated, suite of endoscopic applications and solutions. Our preparations to commercialize the first CAD/AI products in selected countries in Europe and the U.S. are in full swing. This will be an exciting and strategically important launch for the new GIS Division. Through our project Elevate, we have been working on shortening the lead time to get clearance/approval and launch products. As a result, we have been able to get several strategically important products cleared/approved more quickly, as shown in this slide. I already mentioned the upcoming launch of the new OLYSENSE CAD/AI products. Moreover, we are making progress on the FDA submission for the EDOF scopes and our plans for local manufacturing in China. We see growth potential for EDOF scopes in both the U.S. and Chinese markets, based on the success of these scopes in the markets where they are already available. In addition, the EU-ME3 endoscopic ultrasound processor has received FDA clearance. We expect this to boost sales in GI and Respiratory in the U.S. going forward. And we expect that the outpatient endoscopy system OTV-S500, which has been approved in Europe and cleared in the United States will also contribute to the SIS Division in the sub-segments of Urology. We are confident that these initiatives through project Elevate will continue to have positive effects for future clearance and approval and submissions and will lead to sustainable growth. Regarding our future disclosure plans for the business division reorganization, we plan to disclose the forecasts for the fiscal year ending March 31, 2026 under new business segments on the fourth quarter next earnings call. Starting with the first quarter earnings call for fiscal year 2026, results for each new segment will be disclosed. We will also disclose the figures for ESD and TSD as reference information during the fiscal year 2026. With that brief introduction, I'll hand over to CFO, Izumi, who will lead you through the financials for the third quarter.
Tatsuya Izumi: Hello everyone, I am Tatsuya Izumi, CFO. I will provide consolidated financial results and the business review for the third quarter of FY 2025. Consolidated revenue increased by 9% year-on-year to ¥725.2 billion with yen depreciation serving as a tailwind. Revenue growth was driven by North America, which achieved double-digit growth in all three focus areas, GI, Urology, and Respiratory led by sales of the EVIS X1 GI endoscopy system. Revenue reached a record high for the third quarter and the first nine months. Operating profit increased year-on-year to ¥108.8 billion due to a decrease in losses related to Veran Medical Technologies which were recorded in the previous fiscal year and the tailwind from foreign exchange. Note that the foreign exchange impact of ¥16.9 billion on operating profit included the impact of the elimination of the unrealized gains on inventories of ¥4.4 billion as a positive factor. Adjusted OP increased by 16% to ¥128.2 billion with an adjusted operating margin improving 1.2 points to 17.7%. For full-year forecast, revenue and each profit level have been revised considering the progress up to the third quarter and the external environment particularly in China. Further details will be provided starting on the Slide 14. Next, the business situation by segment. First is ESD. Revenue grew 10% year-on-year. Adjusted OP excluding other income and expenses increased to ¥106.8 billion with an adjusted operating margin of 23.2%, representing a year-on-year improvement. I will now give a review for each subsegment. In GI Endoscopy, sales in North America grew 39% on strong sales of the EVIS X1 GI endoscopy system. Sales declined in China due to the impact of the anti-corruption campaign and others. In Surgical Endoscopy, sales declined in China while they increased in North America, Europe, and APAC. Growth was driven by the solid performance of VISERA ELITE III surgical endoscopy system in APAC combined with favorable foreign exchange effect. Medical Service saw steady growth across all regions, especially in Europe and North America due to stable revenue streams based on service contracts, including maintenance services and an increase in new accounts. Next is TSD. Revenue grew 7%. Adjusted operating profit excluding other income and expenses increased to ¥49.9 billion with an adjusted operating margin of 18.8%, which represents an improvement similar to ESD. For performance by sub-sequent, all three focus areas of GI and EndoTherapy, Urology and Respiration, all grew primarily in North America and Europe. In GI EndoTherapy, sales increased in HPB related products. In Urology, the growth was led by SOLTIVE SuperPulsed Laser System for urinary tract stone management and resection electrodes for BPH treatments. In Respiratory, we saw strong performance in the EBUS scopes and therapeutic devices mainly used for endobronchial ultrasound-guided transbronchial needle aspiration EBUS-TBNA. This is financial position and as of the end of last year. Total assets decreased ¥127.3 billion from the end of the previous fiscal year. The main reason for this was a decrease in cash and cash equivalents due to share buyback and the repayment of debts. Equity decreased due to share buyback and dividend payouts, while an increase in profit was posted as a positive factor. The equity ratio rose to 52.2%, up 2.8 points from the end of the previous fiscal year. Next, the status of cash flows. Cash flow may appear to have decreased significantly because of the impact of the transfer of evident was including the same period for the previous fiscal year, but adjusted free cash flow excluding the extraordinary factors improved year-on-year. Cash flow from operating activities was ¥126.3 billion positive. It increased significantly due mainly to an increase in profit before tax and a corporate income tax refund. Cashflow from investing activities was minus ¥42.6 billion due mainly to expenditures associated with the acquisition of tangible fixed assets and intangible assets. Free cash flow stood at plus ¥83.7 billion. Adjusted free cash flow was plus ¥63.4 billion positive, excluding extraordinary factors such as acquisitions, transfers, and reorganizations. Cash flow from financing activities was negative ¥206.6 billion due mainly to share buyback, the repayment of debts, the redemption of corporate bonds, and dividend payouts. Resulting cash and cash equivalent stood at the ¥220.3 billion at the end of December, 2024. Moving on to a full year forecast for FY ‘25. Revenue has been revised to ¥997.5 billion, after taking into consideration the progress up to the third quarter and the external environment, particularly in China. Primarily to a decrease in gross profit, adjusted operating profit has been revised to ¥174.5 billion, with an adjusted operating margin of 17.5%. Profit is expected to be ¥105.0 billion, with EPS of ¥92. The FX assumptions that are the basis for these forecasts are ¥154 to the U.S. dollar and ¥164 to the euro. We plan to issue a year-end dividend of ¥20 per share unchanged from the forecast announced in May 2024. Next, the forecasts by business segment. In ESD, revenue, operating profit and adjusted operating profit have been revised to reflect the external environment in each region, including delays in the recovery in the budget execution due to the anti-corruption campaign in China and the tight healthcare budget in the United Kingdom. In TSD, adjusted operating profit has been revised based on progress in the first nine months of the year. With less than two months left for the current fiscal year, the external environment and other factors remain unpredictable. By taking necessary measures in a timely manner, we will work to achieve the forecast we presented today. This concludes my presentation. Thank you for your attention.
A - Yasuo Takeuchi: We'll now move to the Q&A session. Thank you for the presentation.
Masahiro Shibano: I have a question for Takeuchi-san. Earnings per hour of Olympus today, what is your view on that? After the downward revision, 17.7% is the adjusted operating margin and approximately 20%, which is the target for the year. You're short of that, but you will be working on the reorganization. So, accelerating the growth and improved efficiency of the operation, I believe, will be the target. So, what is the target that you have for the remainder of the medium-term management plan, and what about beyond that? Through the lean operation, do you think you could further improve the operating margin of Olympus? So, this is a question for Takeuchi-san.
Yasuo Takeuchi: Thank you for your question, Shibano-san. For this fiscal year, unfortunately, we will be short of 20% for this fiscal year, as we made the announcement today. Basically, in 2019, I announced the annual growth as well and the profitability, 20% on operating profit. So that basic policy remains unchanged. As you're aware, over the past several years, many challenging events took place to become a full-scale global medtech company. This is a growing pain, so to speak. That is how we see the situation. Elevate, part of the Elevate initiatives was explained earlier. So, it's more about compliance, and therefore, lots of expenses incurred might be how you view it. But actually, we are trying to strengthen our fundamental strength to become a true global medtech company so that we will, over a long-term, move into the sustainable growth. Right now, expenses are preceding the benefits, but we will eventually see the benefits. For next fiscal year, we are putting together the new business plan. We're in the final phase of that effort. So, I'm afraid I can't really talk about the specifics, but get close to 20% as much as possible, of course. Having said that, many of the initiatives that are currently underway, when can we the effect is a question. And as you're aware, there are many uncertainties going forward. We don't think the current situation in China will continue forever, but at the same time, we are not seeing the quick recovery. So how do we address that might have a major impact on the profitability in the next fiscal year. So that is the overall response that I can give you.
Masahiro Shibano: Thank you. Just one follow up. How about, further down the line, not just next fiscal year, but beyond that, could the profitability improve?
Yasuo Takeuchi: The profit margin that is 20% plus is the basic target, and of course we want that plus portion to increase each year. Thank you.
Ryotaro Hayashi: I have a question about cost expenses. A couple of questions a little bit detailed perhaps. Third quarter R&D for Endoscopy business. It seems that the cost has increased quite a lot in this quarter and the capitalization of R&D expenses, I think that remains the same. So, R&D cost, I think there is a big portion on the PL in Q3 and I want to understand why? Full year guidance for R&D expenses was basically lower in terms of capitalization. So, I think you have increased the portion that goes on the P&L. Can you please explain why you have done this? Thank you very much for a question.
Yasuo Takeuchi: Hi, Hayashi-san. I would like to ask, Tatsuya Izumi, CFO to respond to your question.
Tatsuya Izumi: R&D expense increased in the endoscopy business, next generation endoscopy tower, and also digitalization are the main factors behind this. Capitalization of R&D expenses is done when we have solid sales already in place. So, next generation endo tower and digitalization, these other R&D projects that are going on that will not be commercialized immediately and that is a big factor. So, for the full year, this is also the factor why the number for the R&D expenses going up on P&L as well for the full year? Yes, that's correct.
Ryotaro Hayashi: Okay. Second question about Elevate. I always ask the same question, I'm sorry, but ¥31.7 billion was the full year Elevate expense that you have shared with us in the past. So how has it been changed.
Tatsuya Izumi: As you have explained for the full year, we expected ¥31.7 billion, but now we believe it's going to be ¥30.5. SG&A ¥12.2 and others is ¥18.3 billion through efficiency improvement.
Akinori Ueda: My question is on the gross margin, a gross profit margin from Q2 to Q3, on a quarterly basis, revenue steadily increased while the gross profit margin declined significantly. Any special reasons for that? And by business, between TSD and ESD, not much change. So, I think maybe it's the China business that is affecting. Is it there's a geographical reason? So, could you give us the reason why?
Yasuo Takeuchi: Thank you for your question, Ueda-san. As you have correctly indicated, basically the manufacturing costs reduction, that initiative is continuing, progressing as planned. On the other hand, the sales revenue in China is declining, and that is having an impact. China, compared to other regions, have many products with higher profitability. So, the product mix is the biggest factor associated with that Chinese market. And Izumi-san, anything to add?
Tatsuya Izumi: Thank you. As for the gross margin, with the foreign exchange, there is unrealized gain elimination. That is misleading the figures. In Q2, because of the exchange rate fluctuations, because of the elimination of the unrealized gain, the manufacturing cost was reduced quite a bit. But that's been normalized, and that is having an impact, which is specific to this quarter-on-quarter change. I see. So, it's normalization. So, it's not that there was a particularly big impact of the elimination of the unrealized gain in Q3, correct? That is correct. No special factor.
Akinori Ueda: A follow-up question. China business that you have talked about in the fourth quarter, what are the assumptions, and what are the forecasts going forward? The anti-corruption and the increased competition locally because of the concentrated purchase. So, what's the assumption?
Unidentified Company Representative: Thank you. Let me take that question first. For some time now, maybe close to two years now, we have been seeing a big impact in China. And for some time now, we, of course, felt that this is not going to continue forever. And also, the government of China had been promoting the procurement, as you are aware. And in the latter half of Q3, we saw some impact. And therefore, we expected recovery during this time frame. But as you are aware, that didn't realize.
Akinori Ueda: So, what's going to happen from here?
Unidentified Company Representative: I think everyone is really having a headache. We are one of them. It's very hard to foresee. So maybe we need to take a longer term. There is a big unmet need in China. So, it's unlikely. It's not going to be that the current situation will continue forever. And in fact, for our service, Olympus products and services, there is strong demand. So, one trigger might be in the second half of next fiscal year, we are going to start the local production in China. So that should be a big push, and we are hoping that that will trigger the recovery in our business. And so, in terms of number of growth rate, we can't give you specific numbers, but that is a qualitative view that we have. So ESD Head Drewalowski, could you comment on that? If there is any follow up question, Frank?
Frank Drewalowski: May, maybe one or two additional comments from my side. We fortunately have seen in December and January in the official statistics recovery of endoscopy related tenders and businesses. Unfortunately, as Takeuchi already pointed out the impact that this will generate for this fiscal year, it is not going to be sufficient to compensate the big gap that the China, low business volume in China has created. And I think we're trying to do two things at the same time. We try to invest into the midterm long-term infrastructure with training centers, because there's unmet need as Takeuchi said, and the local manufacturing we have accelerated even that's also some of the additional R&D costs, which was asked about before. Our activities there, we will if everything goes well, and the regulatory approval will come, we will be able to see the first locally made key products like our GI key products at the end of the next fiscal year. And we also try to adjust our infrastructure from the go-to-market and corporate infrastructure perspective to the currently quite sustained drop in top line. So, we will -- we are expecting at the moment something like a 10% to 50% below last year result out of China. And we want to obviously adjust our cost structure while keeping the midterm and long-term investments alive. So that will conclude my additional comment.
Akinori Ueda: This is a very basic question for the ESD segment. Profit went down in the third quarter. I understand that China has been weak, but it was the same up until the second quarter as well. So, what is the reason why the profit went down further in Q3? Can you please explain the factors behind this in terms of numbers?
Yasuo Takeuchi: Thank you very much. Tatsuya-san, our CFO Izumi will explain.
Tatsuya Izumi: Thank you. Biggest factor behind this decline is China, especially in ESD, we have the highest profitability in China, and therefore GI weakness in China is the biggest factor, biggest impact. And also, UK, South Korea, Australia, these are our key markets as well. And compared to the previous year, we had lower sales, weaker sales, and weaker sales in these geographical areas led to the decline in profit. And I hope that Frank has some additional comments. Frank?
Frank Drewalowski: Yes. In terms of geography, we are also unfortunately suffering since maybe three or four months from Russia sanctions, which will be lifted. We just got news today that the ban on some of our absolute core GI Endoscope products shall be lifted by the authorities from Germany so that we can export again from the European headquarters into Russia. But again, that will come a bit too late to recover. And in addition, we already spoke about our P&L also showing the impact of the R&D investments. So, we were planning to reduce our cost base already from September, October, when it became clear that the Chinese numbers will not recover so quickly. We did so and did this quite successfully to reduce some of our SG&A in the ESD division. We continue to do that. We have frozen headcounts. We are looking at travel restrictions to minimize expenses. But we also took the decision again, looking at the mid and long term to accelerate IPF-4, so extension R&D activities and to also accelerate the localization, as I just explained in China, because we feel that if we do not quickly move with local products there, we might endanger our installed base market share. That is the basis for future success. So, it's a mixture of a decision to keep investing into material infrastructure and some very unfortunate regional impacts.
Unidentified Analyst: A follow-up question about the annual plan, full year plan. This is another basic question. China and R&D was already explained, but for the full year, ¥11 billion downward grading for ESD, so ¥25 billion downward revision as well in terms of profit. So, I don't understand the factors behind this. So, ¥4 billion downward revision, how does it break down by geography or by cost type? Can you please explain?
Yasuo Takeuchi: Thank you for your question. Our CFO, Izumi, will respond to that question.
Tatsuya Izumi: Yes, downward revision, main factor is mostly ESD related. The biggest factor is China. As I have explained earlier, profitability is the highest in China. So, if the sale goes down in China, that impacts the profitability negatively. For the full year, we thought that the sales would decline only slightly, but the 15% to 20% decline is now being observed. So, sales and also product mix, cost of goods are worsening. These are the main factors. In addition to that, originally, we had expected Japan, Europe, APAC, sales growth, but still, we expect the numbers to be flat in these areas. Not as much as China, but ESD profitability is still higher in these regions compared to other regions. And now we have adjusted our outlook, which is impacting the prof profit.
Unidentified Analyst: So, sales and regional factor, R&D, and there may maybe some impairment, but there is no other big factors included in this downward revision. Is that correct?
Yasuo Takeuchi: Yes, that's correct.
Unidentified Analyst: Question on the China market. You have already given you details in response to earlier questions. Understand that China has a big impact on the profit margin. Before you start the local production, is there a risk that the revenue would not increase until the local production starts? Now, budgeting is difficult in China. My understanding is that you are selling your products at higher prices than your competitors. So, assuming that the economic downturn in China is to continue for some time, do you think that premium price -- premium that you enjoy today could be sustained?
Yasuo Takeuchi: Thank you for your question. Frank and Kuramoto-san, I would like to ask both of you to take that question to talk about your respective business, please. Frank?
Frank Drewalowski: Yes, the situation in China for our GI business is at the moment characterized by the already launched core X1 CV-1500 video processor. And that is, as we have also seen in America and other places, highly regarded as the premium product in the market for early detection and has the recognized best image quality and feature set in the market. So, we are at the moment struggling with the availability of the corresponding latest generation endoscopes. And that's what we are -- as we said, what we are accelerating with our local manufacturing activities. And we see that in the premium segment of the A segment hospitals, university hospitals, we are still very successful with this product. And therefore, we are at the moment not targeting any major price revisions for that product. We are actively considering to build a layered portfolio to be able to continue to be successful also in the B&C segments of the market where we are obviously facing double price challenges, A from our traditional Japanese competitors that typically are offering their product portfolio at the lower price range anyway, but then even more so from the locally manufactured brands, Chinese brands who are obviously having the tailwind of the -- by China policy as well. So, for the foreseeable future, we believe we can grow again, because that was the start of your question, right? Is there a growth until we can have the local manufactured product? And our conviction is yes, we are planning together with the Chinese team to grow. Again, as I mentioned, we see the not V-shaped, but like slow U-shaped recovery. And therefore, at the moment, we are not considering to make any major price revisions on our key and top product. That concludes my GI answer, but I hand over to Seiji now for the TSD related couple of comments.
Seiji Kuramoto: Yes, we have capital business as well in TSD. And yes, we have a similar trend as just Frank explained. As for the capital business in China, it's mostly GI related, the Respiratory, the ultrasound scopes for the staging and diagnosis of lung cancer. In that area, we have relatively strong position. And therefore, of course, there will be some impacts of the economic situation, but we are confident that we can maintain the strong position. As for the consumables, as you're aware, they are the local products, because the Chinese government is policy was trying to control the prices of the consumables. So, as to provide services to as many patients as possible. So, the commodity products would be affected. As for our therapy devices for ERC and others, we do have a strong position. And so, for those devices, we can expect that the high premium prices could be maintained even with VBP.
Unidentified Analyst: Thank you. A follow-up question. So even without a price revision, if that could be maintained, your margin could be maintained, the margin that you're assuming for Q1, Q2. Even when the demand does not recover, you still think that the currently presumed projected profit margin could be maintained. So, there is no downside. Am I correct?
Yasuo Takeuchi: Kuramoto-san, please.
Seiji Kuramoto: Yes, overall. Unless overall revenue goes down, we believe that it could be retained. But as mentioned earlier, especially for capital products, given various government policies and upgrading demand, there are some uncertainties. So, for the next fiscal year, as far as revenue is concerned, we expect rather difficult situation. Frank, how about you?
Frank Drewalowski: That's very similar. But as mentioned, we do project a recovery to continue, not only the last two months, but also over the next year. And therefore, we are also predicting to see growth in China again after those two very difficult years for us where we were just showing year-on-year shrinking sales. So, and with that growth possibility, also our margin should be recovered.
Unidentified Analyst: TSD China local currency-based sales has been negative for a long time. And you talked about the impact of VBP. So, is this impact of VBP or is this the impact of capital because Respiratory sales within TSD is not such a big portion, so I want to understand where the negative impact is coming from?
Yasuo Takeuchi: Kuramoto-san, please.
Seiji Kuramoto: Yes. The biggest factor is VBP for the EndoTherapy. VBP is accelerating or it's advancing faster than we had expected. That is the biggest factor.
Unidentified Analyst: Do you have any recovery in site? When do you see decline in the negative impact in VBP?
Seiji Kuramoto: We believe that this impact will continue for the time being. However, there is a big number of patients in China, so after the decline, we believe that we will start to see recovery.
Unidentified Analyst: One follow-up question. Local manufacturing in China, I think this is about ESD scope, but for TSD to what extent are you considering local manufacturing.
Yasuo Takeuchi: For TSD? Yes, we are considering manufacturing locally in China as well. Is it going to happen around the same time as ESD?
Yasuo Takeuchi: ESD will be first and the TSD will follow, but we are considering.
Unidentified Analyst: So, you're talking about capital products of TSD, not consumables?
Yasuo Takeuchi: That's correct.
Unidentified Analyst: So, consumables will be supplied from Japan and other areas continuously?
Yasuo Takeuchi: Yes, that is the case.
Unidentified Analyst: I also have a question on China. Looking at the numbers, what I find to be strange is, ESD in North America, 54.5 and 18.7 in China. So, it was threefold larger last year, and you have a very good growth ESV X1, and has a very good margin. So, I think those are the positive factors. X1, down 18% in China, not good. Now, one third of the revenue, when that goes down, all the profit goes down having that impact on your overall profit. And I'm wondering why, and during first half China was stagnant and I think you said at the end of Q2 that a good business in North America is to make up for that slowdown. So, in Q3 last year, ESD down 20% and then further 18% reduction year-on-year this year. So, I think something very unusual is happening. So, what did you misread in the first half and why is it that now, China is having so much impact that you have to implement the downward revision? And why is it that this strong business in North America could not make up for that difference? Could you explain that one more time?
Yasuo Takeuchi: Thank you for that. Tatsuya Izumi will answer.
Tatsuya Izumi: Thank you for your question. Downward revision, I think you are saying that we should have anticipated that at the end of Q2. You are correct. At the end of the first half, we said that we are not optimistic for the full year. But the assumption back then was the China in -- recovery in China from minus 20 to flat or a slight decline on a full year basis. That was the assumption back then. And at that time, as mentioned earlier, UK, Korea are major markets, other markets included. We expected those to do better. The NHS in UK and strike in Korea, those external factors that we saw in the first half would all disappear. And therefore, we were expecting the recovery in Q3. Maybe we were naive. Maybe we were too optimistic. But we were expecting these positive factors for Q3 and expected the full year guidance to be achieved. But what actually happened in Q3, China didn't recover. And UK, Korea, and Russia, they continue to be sluggish. And that is the reason why we implemented downward revision. So, it is not a sudden deterioration. Rather, what we expected to recover did not recover and that is a major factor for the downward revision. That concludes my explanation.
Unidentified Analyst: Minus 20% further decline. I didn't expect that. So, I'm guilty as well. But down by another 18% in China. In ESD, you have many things. And I think your surgical business in China is relatively small. So, GI and Services are the main part of your business in China, I suppose. So, Endoscopy went down dramatically. Am I correct? And no change in services.
Tatsuya Izumi: Yes, by subdivision, you are correct. Services remain almost the same. So that would mean that the sales products had a big impact. That is the current situation.
Unidentified Analyst: Just one more question, if I may. I'm thinking about the positive factors. NHS, they have increased the budget for next fiscal year? So, for medical infrastructure, I think they are increasing the budget. So, you can expect an increase in UK for next fiscal year.
Tatsuya Izumi: Yes, we think that would be the case as well.
Unidentified Analyst: I have a question about the reorganization. GI and Others, it looks like you have separated the organizations in that way. So specifically, how do you want to change things? Can you maybe please talk about specific products and how you are implementing this or that you want to change this time around?
Unidentified Company Representative: Thank you for your question. As you can see on the slide, I think the easiest thing to point out is that for surgical, the capital products, including the scopes and also, excuse me -- this is moved from ESD to surgical intervention. And the other thing is that for GI EndoTherapy, we are moving this from TSD to GIS. So, GI focused specialty, we will be taken care of by GIS and other specialties, mostly surgery for different organs we have SIS, so this is how we are dividing the business.
Unidentified Analyst: Thank you. I have a follow up question. This organizational change, what is this based on, what challenge triggered you to think about this reorganization in the first place? I think the head of each business should explain this to make it more dynamic and convincing.
Naoko Saito: Could you go ahead to explain about the real purpose of this the change at this time?
Frank Drewalowski: Sure. And thanks for the question, Saito-san. The previous ESD and TSD divisions were based on more technology disposable versus capital. So that means that led to a situation where the -- as Takeuchi-san explained the direct vertical line from management into the customer base was more complicated. It was more internally focused split to focus to group all capital goods and to group all disposable goods. I think this step here, I would consider another step to become a normal or typical leading medtech global company because every major company has I think for many years, already decided that they should base their internal structures according to their customer base. And that is basically a cleanup situation here where we are now saying, as also explained with the OLYSENSE GI ecosystem that we can now build our whole go-to-market model in an efficient and holistic way around all the needs of the same customer groups. So, we are moving from technology out to market in type of approach with this reorganization. And I think there is a lot of excitement and positive expectation not only internally, but also with our customers about having this united to build good solutions. An endoscope can only deliver good therapeutic applications when the endotherapy devices are designed as a package. And that's what we will now be able to do more easily than before.
Yasuo Takeuchi: Even until now, well, it's been more than 10 years since I got involved in this management. Every time we discuss strategy, we talk about organizations should represent how the customers are. And as Frank said, it's always been technology based, technology driven organization. So, our organization was based on how things were manufactured, but this time round, we have changed the organization to be more customer driven. And this is the first time that Olympus has done this in terms of organization structure.
Unidentified Analyst: Very clear, thank you very much. And this is not related to the Elevate expense in the next fiscal year and beyond, but three months ago cost of Elevate was expected to increase against the initial outlook. So, Elevate, expenses and also SG&A for next fiscal year and beyond, do you have anything that you can share with us at this point in time?
Yasuo Takeuchi: Yes, we would like to ask Izumi-san to respond to that.
Tatsuya Izumi: There was a question about next fiscal year and Takeuchi has mentioned that we're not formulating the plan right now and therefore difficult to answer. When we provided the explanation last time, three-year program of Elevate, ¥70 billion was the plan, but we said we had to exceed, we will have to exceed that. And ¥62 billion will be used in the two years. And the ¥10 billion is the assumption, but this is not really the actual amount. Well, ¥70 billion will be exceeded, we don't know by how much. But compared to this fiscal year, the absolute number will be smaller. But to what extent and what level of efficiency can you achieve, this is exactly what we're discussing right now. With regard to the Elevate initiative, as was mentioned earlier, some people think that this is just for the compliance purposes and it's just a cost for the Company. However, the actual situation is, although we don't know specifically when FDA will come back for the audit, but the activity is progressing very smoothly. I hope you understand that. But we have not really achieved something yet, anything yet. So, we are trying to change the strength of the Company itself. So, it's not the question of money or cost. This is something that we must bring to success for the future of Olympus. This is how we see this project. But we also believe that this is going to make the performance of Olympus better for the future. So, we want to keep this in mind as we continue with our activities, this is my strong belief.
Yasuo Takeuchi: Very clear. Thank you very much. That’s all for me.